Operator: Good day and welcome to the Reinsurance Group of America Fourth Quarter 2020 Results Conference Call. Today's call is being recorded. At this time, I would like to introduce Mr. Todd Larson, Senior Executive Vice President and Chief Financial Officer; and Ms. Anna Manning, President and Chief Executive Officer. Please go ahead, Mr. Larson.
Todd Larson: Thank you. Good morning and welcome to RGA's fourth quarter 2020 conference call. With me this morning on the call is Anna Manning, RGA's President and Chief Executive Officer; Alain Néemeh, Chief Operating Officer.; Leslie Barbi, Chief Investment Officer; Jonathan Porter, Chief Risk Officer and Jeff Hopson, the Head of Investor Relations.
Anna Manning: Thank you, Todd. Good morning, everyone and thank you for joining our call today. I hope you are all remaining safe and staying healthy. The loss and anxiety caused by the pandemic is extraordinary. And on behalf of everyone at RGA, I would like to express profound appreciation for those on the frontlines in the fight against the pandemic and offer our deepest sympathies to those who have lost loved ones. Through these tough times, I have remained incredibly proud of the role that RGA has played in an industry that helps to safeguard the financial futures of millions of families from the unforeseen tragedies of life. Our purpose has never been made clear than during this past year. Let me now move to our results. Last night, we reported adjusted operating EPS of $1.19, which we consider another solid quarter in the context of the pandemic. In this quarter, we were able to absorb estimated total COVID-19 related claim costs of $300 million globally and deliver profitable earnings due to the underlying strength in many of our businesses. These include our Asia business, our U.S. group and individual health operations, and our U.S. asset intensive business. Additionally, excluding the impact of claims attributed to COVID-19, our U.S. individual mortality experience was again favorable this quarter. Reported premium growth was strong driven by results in EMEA and Asia, we completed a number of transactions in the quarter and deployed approximately $100 million of capital. The transaction pipeline is very good overall and includes opportunities in all our regions. Our investment portfolio held up well, and we ended the year with a strong balance sheet and excess capital of $1.3 billion. Our approach to capital deployment during this crisis remains prudent, disciplined and balanced.
Todd Larson: Thanks, Anna. Beginning with consolidated premiums for the quarter, we reported premium growth of approximately 9%, somewhat higher than recent quarters as we saw good business growth in some areas in addition to some client catch-ups have benefited reported premiums. The effective tax rate on pre-tax adjusted operating income was 18.3% for the quarter, below the expected range of 23% to 24% as a result of utilizing foreign tax credits and tax benefits associated with differences in bases and foreign jurisdictions. Turning to the segment results listed on Slides 8, 9 and 10 of the earnings presentation. The U.S. and Latin America Traditional segment reported pre-tax adjusted operating loss of $89 million in the quarter. Our individual mortality experience for the quarter excluding the estimated COVID-19 claim cost were favorable.
Jonathan Porter: Thanks, Todd. COVID-19 mortality claim costs for Q4 continue to be towards the lower end of our model expectations, relative to general population reported COVID-19 deaths, and we continue to see lower insured mortality relative to the general population. The U.S. still accounts for the majority of our estimated COVID-19 claim costs. Our ongoing mortality model updates did not result in any material changes in the quarter. So, we are reiterating our mortality rules of thumb for our major markets as shown on Slide 14. Overall, longevity experience was modestly favorable in the quarter, but less than the prior quarter run rate. This lower offset was expected due to lower longevity - sorry due to longer longevity reporting lives and differences in country specific mortality rates over the period. We expect elevated claim cost to continue in the first half of 2021 based on the level of ongoing COVID-19 deaths in the general population. Although uncertainty exists on the ultimate impact of new COVID-19 variants. It is good to see some recent positive signs as well. Many countries are experiencing decreases in new case counts and deaths from the peak of the holiday season waves and the preliminary data from the global rollout of vaccines looks promising. We expect that vaccines will have a material beneficial impact on general population mortality in particular as those that are most vulnerable to severe outcomes are vaccinated. We continue to closely monitor all of these developments and would expect to update our reviews if needed, as new data emerges. Let me now hand it back to Todd.
Todd Larson: Thank you, Jonathan. That concludes our prepared remarks. We now like to open it up to you for your questions.
Operator:  We will now take our first question from Humphrey Lee of Dowling & Partners. Please go ahead.
Humphrey Lee: Good morning and thank you for taking my questions. I think you mentioned that you continue to see the difference between the insurer and general population mortality experience, since many of the primary companies saw worsening results, especially on the group side. I was wondering if that kind of insured versus for general population mortality difference remains kind of the same compared to early stages or if you've seen any kind of convergence between the two?
Anna Manning:
Jonathan Porter: Yes, hi Humphrey. No, so in our results they have been somewhat consistent over the quarters. I mean, obviously there is some ups and downs, but the difference between insured and general population with respect to our claims has been relatively the same. And that's kind of evidenced by the fact that we are at the lower end of our rules of thumb. So our expectations are being maintained.
Humphrey Lee: And then in terms of the non- U.S. COVID-19 claims, they seem to be weaker than the guidance - what the guidance will implied especially because they are coming from countries that you don't really have much exposure. Can you provide some colors in terms of what you saw in the quarter?
Anna Manning: Todd, may I ask you to respond and address that question.
Todd Larson: Yes, hi Humphrey. So, yes, it's going to spread around a little bit. So for the quarter these are estimated numbers. I would say the COVID impact for South Africa was around 13 million, for India, around 19, but both Canada and the U.K., about 6 million each, Australia, an estimated 8 million, and U.S. - U.S. group business about 13.
Jonathan Porter: Yes, Todd. This is Jonathan. Maybe I'll just add on to that. Over the course of the year, so in any one quarter results could go up and down, but when you look at the full-year results, it's pretty close to what we expected. So about 80% of our claim costs are in the U.S., about 10% are in the U.K. and Canada, and about 10% everywhere else.
Operator: We will now take our next question from Andrew Kligerman of Credit Suisse. Please go ahead.
Andrew Kligerman: So two questions. So the first one, from an accounting standpoint. In Allstate recent life and  that LDTI impacts would have accounted for half of the book value and instead they chose to divest in a 3 plus billion dollar loss. Now I know Allstate's business mix is different versus RGAs, but what might make us comfortable that RGA won't take a similar magnitude of charges, especially on term business that's not accounted for under FAS 60 when LDTI does come in play in '23, and if possible, maybe discuss the different lines of business and the potential impacts?
Anna Manning: Todd, may I ask you to address that question.
Todd Larson: Sure. Hi, Andrew.
Andrew Kligerman: Hi Todd.
Todd Larson: So, yes, as you mentioned the standard was deferred again in - another year into 2023. We're certainly working through everything that need to do to the implement the standard for existing what's called the FAS 60 business. One thing that I would point out, the overall economics of the underlying business haven't really changed with the new accounting standard. It is just how the financial reporting will look like as we go through implementation and then accounting under the new standard as we go forward. It would be premature for us to provide any numerical information at this point that we're still looking at the various assumptions, applying some of the interpretations that we need to make on as a reinsurance company. So as time goes on, and we are further along in the implementation, we will start sharing some information. At this point, it's very difficult to comment on any impact.
Andrew Kligerman: Got it, Todd. Okay, thank you. And then with regard…
Anna Manning: Andrew - may I - sorry may I also offer an additional perspective and that is we have business around the globe. And so our book is different than the book that you referenced. We also have a very long history of performance on mortality - global mortality business, as well as our GFS business and all our other businesses. So I would offer that up for some context, as well.
Andrew Kligerman: Thank you, Anna. And then my other question. I just have three guided points upfront to the question, and then I'll get to it. So first in 2015, the then RGA CEO, Greig Woodring acknowledged the mispricing of the '98 to '04 business. I think, Todd you mentioned a little earlier in the call that its performed in line. And at the time, Greig had cited that RGA would - in line with expectations. Greig had said that it would probably lose about 60 million a year over several years. And the second point is that in each of the 3 years before COVID-19, RGA has posted greater than a 10% return on equity. And then the third point is that in contrast in life reinsurance, two of your three leading global reinsurance competitors are targeting mid to high single-digit returns and the other is targeting 10% to 12%. But all three have taken sizable charges on their '98 to '04 blocks. So my question is how is the 60 million a year evident in your past 10 plus ROEs and your targeted 10% to 12% because it's just not appearing evident.
Anna Manning: I will ask both Alain and Todd to address aspects of that question, Andrew. Todd, Alain, if I may.
Andrew Kligerman: Thank you.
Alain Néemeh: Sure, Todd. Maybe I'll start. Hi, Andrew. Alain Néemeh. As you referenced, we did mention that block of business was underperforming. I think perhaps when Greig made those comments there was a sense that that block was going to get smaller over time. I think that is happening. I would say that the mortality as Todd alluded to has been performing in line with our recent expectation, certainly though, we probably been facing some additional interest rate headwinds as we have on the whole of our traditional block of business. I don't know that we necessarily break up the blocks of business to look at actual ROEs, but I'll let Todd comment on sort of ROEs and the totality of our business.
Todd Larson: Yes, so in ROEs. I mean certainly we produce those ROEs overall from an enterprise perspective. There's going to be some lines that are above, some lines that are below. But overall, we've been able to deliver that level. ROE as far as comparing to competitors, there is different accounting basis that are used that been - that are directly comparable to ours. So I'm not sure, if I can directly reconcile the two.
Alain Néemeh: The other thing is maybe, Andrew, sorry. It's Alain Néemeh, just to add in. We talked in the past about taking the long view on our client relationships and certainly looking at the totality. And in that vein, we have I would say look to identify where there are material imbalances and look to restore better balance with those clients. You referenced our competition and some of the charges and some of the actions they've taken. I think we've been pretty clear. We don't have a broad based rate action strategy, but that doesn't preclude the possibility of taking or having taken rate actions were appropriate, we just prefer to work through those types of issues with clients directly.
Operator: We'll now take our next question of Erik Bass of Autonomous Research. Please go ahead.
Erik Bass: In EMEA, can you talk about results in the Financial Solutions business this quarter? And the level of COVID impacts in the longevity business? And then given the delays in reporting, you talked about, are we more likely to see the surge in population deaths that occurred in December show up in your first quarter results?
Anna Manning: Erik, thank you for the question. I think that should be - that's directed to Todd and perhaps Jonathan.
Todd Larson: Yes, we did see split. As we mentioned slightly on the favorable longevity on the quarter. And also in the quarter. As you know, we have pluses and minuses, when we give data - catch-up reporting from our clients, and that was a little bit not negative but not as much as we would have expected in the quarter, just due to the - what information we receive. I think taking a step back, given the block. We still view it as very positively and would expect it to continue to perform on average as you seen it perform historically, which is quite well.
Jonathan Porter: Yes, and this is Jonathan. Maybe just to talk about the lag in reporting. So, I mean you're right. There are longer lags in longevity reporting, which means the results that we're seeing in Q4, although we can't commit to the exact timeframe just given it's a bit variable depending on the treaty. It's really - will be more reflective of the summer level of mortality that you saw, and those rates were generally quite a bit lower than we saw both in Q2 and in Q4, that's particular were true for the U.K., which is where most of our longevity business is concentrated. There was very little excess mortality accident in summer months. So we do expect this to be lumpy quarter-to-quarter and due to timing, as well and by geography, but you saw our rule of thumb that we've been thinking about longevity business at, which is around 10% ultimately relative to mortality. We still feel is a reasonable estimate.
Erik Bass: And thank you, that's helpful. And then maybe sticking with EMEA. Can you provide some more color on a couple of the recent larger block deals that you've done in the region? And do these change your view of the normal quarterly earnings run rate for that business going forward?
Anna Manning: I think that's, Alain, if you could address the transactions and Todd on the run rate.
Alain Néemeh: Sure, Anna. The transactions were very much in line with what we've done previously, so longevity swap type transaction. We've done some financial solution type transactions as well outside of EMEA. But in EMEA is mainly longevity.
Todd Larson: And as far as I'd say with run rate, Erik. I don't have any one at this point, but certainly, it's good to see a couple of nice deals close there.
Operator: We'll now take our next question from Jimmy Bhullar of PG Morgan. Please go ahead. JPMorgan, I apologize. Please go ahead.
Jimmy Bhullar: So first, I just had a question on the Asia business and specifically on Australia, if you could talk about what specifically it was that caused the loss this quarter and any new developments that you've seen in that market?
Anna Manning: Yes. Again, I think the first to Todd, and the question on the market to Alain.
Todd Larson: Yes, so, Jimmy, there was a new industry table that was published during the year that the regulators expect the companies to adopt and they provided some updated information on some of the disability income, the termination rates, and that type of thing. And once we looked at that table and it provided some experience on the longer duration type claims or that may stay on claim for a while. And so we - once we took a look at that, we did have a increase in our reserve levels and then we also set up some IBNR claims related to COVID-19. And some of that was partially offset by some changes, that might be other way, but the table was a big driver along with the COVID-19. If you back out those one-offs, as I mentioned in my comment that was right around the breakeven quarter.
Jimmy Bhullar: And is there any ongoing impact from the new data or is just a catch-up in one quarter?
Todd Larson: I'd just give the - the industry table is more of a catch up, through up.
Jimmy Bhullar: Okay. And then if you think about your results, you had given sensitivity on COVID claims in the U.S. and each of the last two quarters your actual results has been better. Any thoughts you have given to sort of reassessing that sensitivity or because it does seem like and it's only two quarters, but it seems a little bit overly conservative?
Anna Manning: Jonathan, may I ask you to address that question.
Jonathan Porter: Yes, I'll take that. And then maybe Alain if you want to talk about the market in Australia. Again but. Yeah. No. You are right, Jimmy. We've - we have been obviously tracking this and we continue to come up towards the lower end. I think exactly what you said, though, it's a couple of quarters. There is some variability, obviously that we would expect to see in the future. So I think, we just feel the appropriate position is to leave it the same for now and reassess as we do regularly each quarter whether a change is required or not going forward.
Alain Néemeh: And Jimmy, this is Alain.
Anna Manning: Thank you for that Jonathan. Back to Alain if you could address the question on the Australia market?
Alain Néemeh: Sure. Thanks. Anna. You know the - what we've talked in the past Jimmy, about the need for the industry to work through some issues. I guess, one positive development is after the regulator has announced new DI product requirements that need to be in place in October of this year with the aim of making disability income products more sustainable. So I think the industry moving in the right direction. There is still obviously some stress on the financial results across the industry, and I think in that light, we're pretty pleased with our results for the year, which is slightly positive when you back out the industry table and the COVID accrual. Maybe just a little bit more on the industry table. That really was an attempt for the industry to bring into line, I would say, DI termination assumptions in the later durations, where there is less information. So to Todd's point, I think we're quite comfortable with this catch up and sort of very comfortable with the balance sheet moving forward.
Operator: We'll now take our next question from Dan Bergman of Citi. Please go ahead.
Dan Bergman: Thanks, good morning. I guess to start, as we start thinking about the first quarter, that's typically when we see a seasonally high level of flu related mortality in the U.S. And clearly this year, 1Q results will be significantly pressure by COVID, but I just wanted to see if you had any high-level comments on how we should be thinking about other - the other non-COVID mortality factors, specifically on the one hand, the U.S. have been pressured in recent quarters by the excess population mortality, not directly identified as COVID that you called out. Based on the other hand, it sounds like factors like masking and social distancing and the potential to make the flu season less severe than typical. Just any thoughts on those two opposing trends, what you're seeing and really any help just thinking about that directional net impact would be helpful.
Anna Manning: Thank you, Dan. I think a very low flu season would obviously be very welcomed. But I think, any relief from the flu season would be modest in the context of our pandemic. I'll ask Jonathan maybe to provide a little bit more color in terms of the relative sizes of those pluses and minuses. Jonathan?
Jonathan Porter: Yes. Thanks, Anna. And I mean, you're right, I mean, really what we're seeing in a flu data is quite incredible, so far with essentially zero. And that's not due to lack of testing. In fact, you can see places where testing is actually even higher. So it really is quite amazing - flu this slow. When you think of the flu season and the impact to us, and I'll talk about focus on the U.S. here. Usually, you'd see about 15,000 to 60,000 general population deaths on a typical flu season. The range is obviously based on severity. But, so you can kind of think of that level of general population deaths relative to the amount of COVID death that we would incur plus the excess death that you mentioned. We do expect that. Those will continue as well, just based on what we've seen so far in 2020. So that will have offset if flu is really close to zero, we will be somewhere probably the middle of that range of 15 to 16.
Dan Bergman: Got it. That's very helpful. Thank you. And then maybe just now switching gears a little bit, now that we are further into the pandemic. I just wanted to see if there is any update you could provide on life reinsurance market conditions. Are you seeing any impact from COVID on session rates or the demand for life reinsurance. And have you noticed any change in competitive conditions and how you - or the industry as a whole are thinking about mortality pricing in light of COVID?
Anna Manning: Perhaps, I'll turn that one over to Alain. And Jonathan, if you really have anything to add. Please feel free.
Alain Néemeh: Sure. Thanks, Anna. I think from - let me start maybe with just life insurance. I think certainly the pandemic has triggered increased awareness in the population and need for insurance protection. There's few studies out there from LIMRA and MIB that show that the desire or the thinking about buying insurance is at quite substantially. So for example, is about 30% of consumers that were surveyed that are likely to buy insurance in the next 12 months. That's probably a few months dated now. Search traffic for life insurance is quite a bit up on Google search traffic. So I think from a consumer perspective, we're certainly hopeful that, that's going to get traction. Companies have accelerated investments in digital effort to try and reach those consumers. So I think the outlook, I would say is pretty good from a direct insurance standpoint. From a reinsurance standpoint, I would say, we haven't seen much in the way of ups or downs. I think, it continues to progress really along the lines that it has over the last few years, certainly I think as reinsurers we've demonstrated value by working with clients to adapt to the changing conditions through the pandemic. And I think, that's generally been well regarded. Transactional activity continues to be good. I think when one thinks of consumer needs and sort of producing different products, our product development areas is quite strong. So I think, we can play an important part of that. But I think, all I've to say, reinsurance demand I think continues pretty much as it has.
Operator: We'll now take our next question from Tom Gallagher of Evercore. Please go ahead.
Tom Gallagher: You had mentioned that you will be getting some selective rate increases, but not something that you had implemented in a broader way across your business, would you say that is a lot of that related to the early to mid-2000's block in terms of the rate increases you've gotten? And would you say, those are largely done or just - are those still ongoing?
Anna Manning: Alain, I turn this one over to you.
Alain Néemeh: Yes. No. I - look, I would say, Tom. We're continually evaluating the profitability of our different businesses and that the relationships with clients and the balance or imbalance there on. I would say, for the most part, our underperforming business has been very much isolated to the '99, '04 block. And I'd say, it's a continuing activity to monitor and manage that business, the way we believe it should be managed.
Tom Gallagher: So is there, I guess just a follow-up on that, would you say generally, broadly like you're closer to the end of the repricing or is that just an ongoing adjustment that you think might continue for over a series of years if you're able to answer it that way?
Alain Néemeh: I would say very much part of our ongoing management of our business.
Operator: We'll now take our next question of Ryan Krueger from KBW. Please go ahead.
Ryan Krueger: The last couple of quarters you've had favorable large claims experience in U.S. mortality. I was wondering, if you thought that was actually related at all to COVID or if it's just a more random result that you had the last couple of quarters?
Anna Manning: Yes, we've had this internal conversation ongoing for both the fourth quarter and the third quarter line. I think you can appreciate that it is very difficult to assess and make any definitive statement about whether it is or isn't, but perhaps, I'll ask Jonathan to share some of the observations or some of the opinions or at least what we're thinking about in respect of that. Jonathan?
Jonathan Porter: Yes. Thanks, Anna. I mean at this point. Again, we believe it's more of just a part about the fluctuations inherent in our business. So these adjustments can go both directions in the past. As we've noted, we have seen adverse large claims experience. It's nice to see a couple of quarters now of positive large claims experience. But I wouldn't point to being a trend of anything that we can tie back to. So I would say, it's just part of the fluctuations we would expect to see quarter-to-quarter in our underlying business.
Ryan Krueger: And then on - one more on U.S. Traditional. The - there's obviously a lot, there were some moving parts in that business in 2020 and that kind of will continue to be impacts from COVID, but is your view of the underlying earnings power of that business once we get out of the pandemic so in that 300 to 320 type of color annual earnings range?
Anna Manning: Todd, if I could ask you to address that question.
Todd Larson: And so Anna, do you - was that Todd's?
Anna Manning: Yes, sorry. Todd.
Todd Larson: I cut out there a little bit. Yeah, so you know, that's something certainly we will take a look at. As you know, and Alain mentioned this earlier, we do have some interest rate headwinds for some of the book there, but we'll see certainly it's going to be pressure that overall, the other - the U.S. mortality markets, the Group and the long-term care business has been performing quite well. So, I don't have a direct answer for you. But we assess it as we go through the next quarter or two and have a clear view of the - into the pandemic and the impact of the pandemic.
Operator: We will now take our next question from John Barnidge of Piper Sandler. Please go ahead.
John Barnidge: Israel has been the country that's been most aggressive in their vaccination program. Do you see any markers early on in the week since it's begun that suggests any insight on how we should be thinking of maybe COVID vaccine programs globally impacting a tapering off of deaths?
Anna Manning: Jonathan, I think this one is for you.
Jonathan Porter: Yes, I mean, I think that the short answer is, we are very encouraged at seeing the rollout to the vaccine happening around the world. One of the things that's starting to emerge in data, you mentioned Israel specifically as well. In fact, just the real world validation that the vaccines are showing the same level of efficacy that they did in the clinical trial. So that's positive. In Israel, our data points that we've looked at which show that for individuals that had enough time elapse since receiving the full vaccine. But there are clear indications of a significant reduction in both cases of COVID-19 but also some reduced severity and hospitalization. So I think, both of these if they continue should have a - leading to impact on a reduction in general population mortality, which then translate through, of course, to insured mortality. One of the other things to keep in mind with vaccination programs is that many governments are targeting the most vulnerable groups first, which should accelerate the benefit on mortality. So when you think of it for the 80/20 rule, 20% or 25% of the population, probably account for a large portion of the deaths related to COVID-19. So if those population groups get vaccinated faster than mortality should also reduce, sort of, I'd say in pace. So I think the signs we're seeing now early, but they're promising.
John Barnidge: Yes, great. And then…
Anna Manning: And John, if I could.
John Barnidge: Yes.
Anna Manning: Sorry, John, if I could just add a comment, perhaps a longer-term perspective optimism about the longer-term and that in respect of the new technologies that underpinned some of these vaccines, we're cautiously optimistic that this isn't going to be a one event that there has been a lot of money put into the development and that they could be used potentially for other diseases perhaps like the flu or perhaps cancer. So I want to also leave you with that longer-term observation. I'm sorry, I - did you have a follow-up as well?
John Barnidge: I did. And it's nice to have some optimistic news to bite in. How do you - I ask this question with all seriousness. How do you view cryptocurrencies within your investment portfolio. We had an S&P 500 company come out and say, it's part of their cash and cash equivalents. We now have other public companies MicroStrategy Overstock that have allocations to that - that and their cash, so I was wondering, how RGA views this as well?
Anna Manning: Tood, can I ask you to address please.
Todd Larson: And so I didn't quite - John - quite catch the first part of your question.
John Barnidge: How do you view cryptocurrencies i.e. bitcoin or digital gold as a part of your investment portfolio or cash and cash equivalents, is public companies now allocating a portion of their cash and cash equivalents or their investment portfolio to bitcoin or other cryptocurrencies?
Todd Larson: Okay, thanks, thanks for repeating. Well, I - from my perspective and maybe I'll let Leslie, chime in. I haven't been in a lot of conversations around investing in that, so from my - again sitting here, we - I haven't had much in the way of any discussions. Leslie, I don't know if you guys have looked at it at all?
Leslie Barbi: Sure. Hi, this is Leslie. I'm on. So we're not currently investing in crypto currency. I think, if we looked at it, you would think about it as a currency. We tend to more kind of match our business currency exposure. And you know, I don't think, I'd think of it - it's cash but you have currency exposure if you're not doing business in crypto. So I'd be with that, and as well that my understanding is currently the accounting is different than other currencies and can create more volatility. So we're not currently doing it, we keep our minds open looking at all different things, but doesn't currently fit our currency framework.
Operator: We will now take our next question from Brian Meredith. Please go ahead.
Unidentified Analyst: Thanks guys. This is Mike on for Brian. So, just following up on the '98 to '04 block. So there's clearly a lot of investor interest you are almost concerned about this year. So I'm hoping you can maybe share some more details, but just from my perspective, there are three key things to note. One you retrofitted. I think 35% of the block in 2014. Two, I think you're actually known as the high-priced reinsurer during that period, particularly relative to your European counterparts. And then, third, I think it's conceivable that COVID has actually accelerating maybe some of that roll off of mortality. So maybe if you could, if you agree with any of these or if you could add anything, I think it will be helpful for investors just because when there is sort of a lack of information people tend to assume a negative bias. Thanks.
Anna Manning: Thank you for that question, Mike. Alain or Jonathan, would you please address.
Alain Néemeh: Yes, sure. It's Alain Néemeh. I guess what I would say. Couple of things, first off, the '99, '04 block probably represents bout of our - quarter of our book - our U.S. individual block. Today, it's declining. Over time the older issue wages in that block are probably about 4% of the whole. So it's a block that is slowly running off. I think in terms of whether we're a high priced reinsurer or not. Look I would say, it's a good solid competitive environment. I think that comment probably draws from the fact that during that period of time, our market share would have dropped. So whether we were high priced to whether we perhaps did saw some of the risks or felt that the pricing environment was maybe a little bit too sharp. I don't know that's sort of a long-time back, but I think, we tend to look at it in the context of our overall block of business. And when one considers the age of that block. And the impact of COVID on our different age groups. I think it is quite possible to think that some of those people are perhaps starting off a little bit more quicker than we might have expected. I don't - I think it's probably too early to draw any kinds of conclusions, but I'll kind of leave it at that. I don't know, Jonathan, if you want to add anything.
Jonathan Porter: Yes, just on acceleration piece, I mean you're right, it's difficult just given we don't have current underwriting information to otherwise project to how people who will have died from COVID-19, how long they would have lived better life. But I think, again it's reasonable, I believe to expect that there will be some benefit, it's - at this point, I think those - it will be a modest tailwind for us.
Operator: Thank you. We'll now take our next question from Tom.
Tom Gallagher: Hi. Thanks for the follow-up. Just a few detailed questions on the U.S. and LatAm traditional. What exactly is your Latin American exposure? You're not providing any sensitivity? So I assume, it's not very high to some of the countries that have been hit hard.
Jonathan Porter: Yes, this is Jonathan. Our net amount at risk exposure in Latin America is about 1% of our total net amount of risk. So it is very modest. It's also a mix of both morbidity and mortality risks.
Tom Gallagher: And then the follow-up is I assume that favorable health was long-term care this quarter. What proportion of your earnings in that segment is coming from long-term care?
Anna Manning: Todd?
Todd Larson: Yes. So long-term care, it's - I'm trying to think how best to answer as far as the percentage of the total given the unusual total this year, maybe, the best way to size it is from a long-term care business, which in the U.S. is individual health, what we call individual health. That's - we - our expectations would be around $100 million pretax income on that on an annual basis.
Tom Gallagher: That's - so that's a normal - under normal condition. So I assume that's running better than that currently. Is that a fair way to think about it?
Todd Larson: Yes, it did run better than that. The expectation this year. Yes.
Tom Gallagher: So that's like over a quarter of your U.S. and LatAm traditional earnings, I didn't realize it was that high.
Todd Larson: And it's been about that level the last couple of years or so, I would say. But it's not growing significantly, just given the - a lot of new business activities in that line of business.
Operator: Thank you. No further questions at this time. I would like to turn the conference back over to the speakers for any additional or closing remarks. Thank you.
Todd Larson: Okay, well thank you everyone for joining us today, and your continued interest in RGA, and I hope everyone and their families stay safe. Thank you very much.